Operator: Welcome to Eagle Point Credit Company's First Quarter 2016 Earnings Release Conference Call and Webcast. [Operator Instructions]. I would now like to turn the meeting over to your host for today's call, Tom Majewski, Chief Executive Officer of Eagle Point Credit Company. Please go ahead, Mr. Majewski.
Tom Majewski: Good morning and welcome everyone to the Eagle Point Credit Company earnings call. This is Thomas Majewski and I am the Chief Executive Officer of Eagle Point Credit Company. I am joined this morning by Ken Onorio who is the company's Chief Financial Officer. I would like to ask Ken to provide a discussion regarding forward-looking statements before we begin please.
Ken Onorio: Thank you, Tom. The matters discussed in this call include forward-looking statements or projected financial information that involve risks and uncertainties that may cause the company's actual results to differ materially from those projected in such forward-looking statements and projected financial information. For further information on factors that could impact the company and the statements and projections contained herein, please refer to the company's filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law. A replay of this call can be accessed for 30 days via the company's website, eaglepointcreditcompany.com. Earlier today we filed first quarter financial statements with the Securities and Exchange Commission. The financial statements in our first quarter investor presentation are available on the company’s website. The financial statements can be found by following the Financial Statements & Reports quick link on our website. The investor presentation can be found by following the Investor Presentations and Portfolio Information quick link on our website. I would now like to hand the call back over to Tom.
Tom Majewski: Great. Thank you, Ken. Ken and I plan to address five topics today with call participants. Those are first the company's first quarter financial results and activity during the first quarter. The second item will be the second quarter 2016 portfolio activity through May 18, 2016 as well as an update on management's preliminary estimate of April 2016 month end NAV. Third, we will do a recap of the company's recent follow on common stock offering. Fourth, we will provide an update on broad CLO and loan market developments and then fifth we will also provide an update on the company's taxable income for the current year and our analysis regarding the need for any special distributions. And Ken would you mind walking us through the first quarter results to begin?
Ken Onorio: Sure, Tom. We will begin with the company's first quarter 2016 results. During the period from January 1st to March 31st, 2016 the company recorded net investment income of approximately 8.4 million or $0.61 per common share. This comparisons to net investment income of $0.53 per common share in the fourth quarter of 2015 and $0.39 per common share in the first quarter of 2015. When under realized portfolio depreciation is included, the company recorded a net loss of approximately 1.4 million or $0.10 per common share for the first quarter of 2016. This compares to a net loss in the fourth quarter of 2016 of $1.50 per common share and net income of $0.27 per common share in the first quarter of 2015. The company's first quarter net loss was comprised of total investment income of 13.7 million offset by total expenses of 5.3 million and net unrealized depreciation or mark to market loss of 9.8 million. The first quarter of 2016 increased net investment income was aided by the deployment of proceeds from the company's December 2015 unsecured note issuance. As of March 31, 2016 the company's net asset value was approximately 180 million or $13.02 per common share. As of March 31, 2016 the closing trading price of our common stock was $16.40 per share reflecting a 26% premium to NAV on such date. As of May 18, the company's closing common stock price was $16.13 per share. For the first quarter of 2016 total return to common stockholders was approximately 3.73%, this assumes that distributions received during the period were reinvested at prices obtained by the company's dividend reinvestment plan. During the first quarter, the company deployed a total of 31 million in net new capital. This consisted of two new CLO equity investments and several add on investments within our loan accumulation facilities. One of the two CLO equity investments was a result of the company pricing a new CLO, using loans from one of the loan accumulation facilities held by the company. In conjunction with the closing of the CLO this loan accumulation facility was repaid in full including accrued interest. The weighted average effective yield of CLO equity investments made by the company in the first quarter of 2016 was 18.36% as measured at the time of investment. The weighted average effective yield of these new investments was approximately 168 basis points higher than the weighted average effective yield of the portfolio as of yearend and reflects the company's efforts to capitalize on the market conditions during the first quarter. As of March 31, the weighted average effective yield on a company CLO equity portfolio inclusive of CLO equity investments made in the first quarter was 16.77%. This compares to a weighted average effective yield of 15.42% as of March 31, 2015 and 16.68% as of December 31, 2015. We highlight that the effective yields of the company CLO equity investments include a provision for future credit losses. The company's assets coverage ratios at March 31, for preferred stock and debt as calculated pursuant to investment company asset requirements were 351% and 990% respectively these measures are well in excess of statutory minimum coverage requirements of 200% and 300% respectively. On our last call we discussed management's expectations under current market conditions of generally operating the company with leverage in the form of debt and/or preferred stocks within a range of 25% to 35% of total assets. As of March 31, the company had debt and preferred securities outstanding which totaled approximately 26% of the company's total assets. Overall, we remain pleased with the company's portfolio and believe the portfolio's cash generating capacity remains strong. As noted in our prior communications, our portfolio continues to generate new full cash flow despite the unrealized mark to market changes experienced in the senior secured loans and CLO securities during the second half of 2015 and the early part of 2016. Additional information regarding the company's portfolio and underlying loan obligations can be found in the company's regular quarterly investor presentation available on our website. The presentation includes portfolio level information which we believe is helpful for stockholders and their continued evaluation of the company. We encourage everyone to download and read this presentation. Your attention is drawn to page 4 of the quarterly investor presentation. On this page we provide position by position details of GAAP earnings, cash flows and other investment level metrics. Among other information this page compares to cash flows received in the first quarter versus GAAP earnings accrued using the effective yield method in the prior quarter. You will see the ratio of cash received in the first quarter to income accrued during the fourth quarter is 194%. All cash flow in excess of accrued income is treated as a return of capital for GAAP purposes. In addition the company provides via its website certain look through information regarding the senior secured loans underlying the company's CLO equity investments and loan accumulation facility portfolio on a monthly basis. Moving to the second agenda item, I will provide an update on the company following the March 31, quarter end. On April 29th we paid a distribution of $0.60 per common share for the quarter ending March 31, 2016. As with prior quarters the March 31, net asset value reflects an accrued liability for this distribution. Investments that have reached their first payment date are generating cash flows in-line with expectations. In the second quarter of 2016 as of May 18th the company received cash flows on its investment portfolio totaling 18.2 million or $1.31 per common share. This compares to 20.7 of total cash flow received during the first quarter of 2016. You will note that second quarter portfolio of cash flows through May 18 is lower than total cash flow received during the first quarter. While some investments in our portfolio have not yet made payments this quarter, a significant driver of this reduction was a Feds rate hike in December of last year. Many of our CLO investments reset the LIBOR component of their debt tranches during the first month of each calendar quarter. As of the first quarter our look through loan portfolio had a weighted average LIBOR floor of 95 basis points. What this means is holding all else constant as LIBOR increases towards 95 basis points, equity cash flows typically drop. Should LIBOR increase above 95 basis points holding all else constant equity cash flows will be expected to begin increasing. When the company determines it's effective yields for each investment we factor in the forward curve for LIBOR. The forward curve reflects the market's view of where rates are expected to be in the future and over the past few years has priced in increases in rates over time. As a result all of our effective yields contemplate rates rising to and eventually above 95 basis points. The takeaway from all of this is that the quarter to quarter reduction in cash flow was expected within our base case forecasts for each investment, it has already reflected in our effective yields. If LIBOR would increase in a manner that has not reflected in the forward curve this would not be reflected in our current effective yields. So far during the second quarter the company has made four new CLO equity investments, one of these investments was a result of the company pricing a new CLO using loans from one of the loan accumulation facilities held by the company. The CLO is expected to close in June, when it closes this loan accumulation facility is expected to be repeated full including accrued interest. The other investments were made in the secondary market where we have continued to see attractive values. During the second quarter through May 18th, the company has made net new investments totaling 3.4 million. In addition to making certain portfolio level information available on our website on a monthly basis we also published and unaudited management estimate of the company's monthly NAV and quarterly net investment income. This week we published a management estimate of $14.33 for our NAV per share of common stock as of April month end. This reflects a 10.1% gain month over month. The change in NAV from March 31 was primarily due to unrealized mark to market gains in the company's portfolio. Tom, will now cover the next agenda items.
Tom Majewski: Thanks, Ken. This is Tom speaking again. Our third agenda item is to provide a recap of the company's recent issuance of common stock. On May 13, 2016 the company priced the public offering of 1.25 million shares of its common stock at $17.65 per share. The transaction closed yesterday and resulted in net proceeds to the company of approximately $20.9 million after payment of underwriting discounts and commissions and other offering expenses. In addition the company has granted the underwriters a 30 day option to purchase up to an additional 187,500 shares of common stock to cover over allotments if any. At the offering price of $17.65 this reflects a 23.2% premium to management's estimate of April 30 NAV. We believe this offering benefits stockholders in the long term and given the premium at which shares were sold the net-net of estimated offering expenses increased NAV by approximately $0.20 per share of common stock or roughly 1.4%. The company plans to use the net proceeds from this offering of its common stock to acquire investments in accordance with its investment objectives and strategies as well as for general working capital purposes and important part of our advisors investment strategy is to continue to enhance a vintage period diversification of the company's CLO portfolio. While the company generates cash flow in excess of investor distributions and expenses and this incremental cash flow is available to be reinvested the newly raised capital allows us to further that strategy in today's attractive market environment and places the company towards the lower end of the range of leverage that we generally expect the company to operate within which we believe provides us greater flexibility going forward. We are also mindful of the share price movement immediately following the offering. Indeed management, our advisor and its affiliates along with independent directors were owners of over 63% of the company's stock prior to the offering. As of yesterday's close the common stock price was $16.13 reflecting a premium of approximately 11% to management's estimate of April 30, NAV adjusted pro-forma for the NAV increase as a result of the offering. Beyond increasing the company's NAV it is also our expectation that this incremental capital will enable us to seek investments that we expect to enhance net investment income in the future and further diversify our portfolio across vintages. Moving on to the fourth agenda item, I'd like to provide an update on the loan and CLO markets broadly. Most certainly bearish sentiment which weighed on the markets globally through the beginning of the first quarter and pushed down the company's NAV abruptly turned bullish in late February and has continued through both March and April. Indicative of this improvement the company's estimated NAV was up approximately 7.2% in March from management's February estimate, net of an accrual for the first quarter common distribution and up an additional 10.1% in April from the prior month. In March, after two negative months in January and February the Credit Suisse leverage loan index delivered its strongest one month return 2.64% since 2009. The index total return over the first quarter was 1.33%, Many loan mutual funds had large outflows during January and February and that contributed to selling pressure in the loan market. However loan funds recorded slight inflows in March and fund flows have been roughly flat thus far during Q2. This reduction and outflows in conjunction with increased CLO formation and buying from institutional separate accounts has provided stronger technical backdrop for loan prices. Today, roughly 31% of the JPMorgan leverage loan index trades at or above par. This is meaningfully up from the low of less than 1% of the index that was trading above par at the low point in February of 2016. In part due to the market volatility experienced a new issue U.S. institutional loan volume was $43 billion in the first quarter of 2016 representing the slowest quarter of loan issuance since Q4 of 2011 based on data from S&P Capital IQ. During the month of April new U.S. institutional loan volume came in at 17 billion representing a slight increase in the pace of new loan formation as credit markets have normalized from the dislocated levels experienced earlier in the year. As of March 2016, there were approximately $890 billion of senior secured loans outstanding according to S&P Capital IQ. This sizable market allows for a broad range of reinvestment opportunities for the CLOs in our portfolio. Moving to the CLO market, CLO issuance pace was also slow in the first quarter. According to data from S&P Capital IQ only 8.2 billion of U.S. CLOs price during the first quarter, this compares to 30.8 billion during the first quarter of 2015. While demand for CLO securities remain reasonably strong during the quarter we believe a significant factor in the issuance slowdown was the significant widening in spreads in the market for secondary CLO tranches. While many investors invested net new capital into CLOs during the first quarter, we believe much of that capital was deployed in the secondary market. In 2014 and 2015 several investors in the market purchased CLO AAA tranches using margin style financing. As AAA spreads widened, those securities fell in value in some cases causing margin calls for the investors. We believe most of those investors have now liquidated their investment programs and we’re actively selling their CLO AAAs into the market as secondary sales during the first quarter. Importantly the company does not trade in CLO AAA and did not pursue this investment strategy at all. However now thankfully with that technical overhang substantially behind us we have noticed some AAAs trading in the secondary market at levels tight to where new issue CLOs are clearing. We've seen similar tightening in other classes particularly of note at the DD class where we're seeing some secondary bonds trade at levels tied to new issue levels. This market wide tightening in spreads augers for an increase in CLO formation in our view. Indeed thus far in Q2 7.6 billion of new CLOs have been priced, a pace equaling almost the full quarter of the first quarter according to capital S&P Capital IQ.
Ken Onorio: This is Ken speaking again. For our fifth agenda item we would like to discuss the company's taxable income and our analysis of the need for special distributions. In order to maintain our RIC status, the company is required to pay distributions equal to substantially all of its taxable income, but then one year of its tax year and as you may recall the company elected at November 30, tax year end. This has a number of advantages including facilitating timely and accurate reporting of year end tax information to our stockholders. The taxable income we are required to recognize is based on activity in our underlying CLOs. At this point the company has received less than half of the requisite tax information from underlying CLOs necessary to estimate the amount of any additional distributions that may need to be made in order to maintain RIC status for the tax year ending November 30, 2016. Based on initial employment estimates the company currently estimates that it's taxable income for the tax year ending November 30, 2016 will exceed the aggregate quarterly distributions expected to be paid to common stockholders with respect to such tax year. If the company's taxable income exceeds its aggregate distributions paid to stockholders as of the tax year ending November 30, 2016 the company will generally be required to make one or more special distributions to common stockholders during the 12 month period following November 30, 2016. Further update on the company's estimate of taxable income and analysis of special distributions will be provided on the company's call discussing third quarter 2016 results.
Tom Majewski: Right. Thank you, Ken. This is Tom speaking again to offer a few brief concluding remarks I'd like to thank everyone for their continued interest in Eagle Point Credit Company. We believe that the company has had a strong start to the year and we are pleased with our positioning going into the summer months. Some of the company's accomplishments this year include in earning GAAP net investment income in excess of our common distribution for the first fiscal quarter of the year. Number two, issuing additional common stock at a significant premium increasing the NAV by approximately 1.4% for common stock holders based on management's estimate of NAV a pro-forma for the increase in common stock issuance we’re about 5.9% from our year-end NAV net of a $0.60 distribution paid to common stockholders in April, we’re very pleased with that performance. It's been a choppy market but the company has done well. The company has also been able to be on the offense during these periods of price volatility. The new CLO equity investments made in the first quarter had a weighted average expected effective yield at the time of investment approximately 168 basis points higher than the portfolios year end weighted average, the company has had available cash -- has available cash and our advisors is continuing to evaluate new investment opportunities in both the primary and secondary markets. The company will continue to selectively take advantage of market opportunities as they arise. This concludes management's presentation of the Eagle Point Credit Company's first quarter update. At this point we'll open the call to questions and Ken and I will be happy to address any questions that call participants have.
Operator: [Operator Instructions]. Your first question comes from the line of Christopher Testa with National Securities. Your line is open.
Christopher Testa: So just with the comments on the weighted average yield, obviously up significantly given the rebound we've seen in CLO equity and syndicated loans. Could you give an indication on what you're seeing in terms of effective yields quarter to-date and your expectations for this going forward?
Tom Majewski: Certainly with the strength in the market and you can see the increase in the NAV certainly for April that suggest that the price of securities has gone up which would suggest that the reinvestment, the new yield coming into the portfolio might be lower than they were a few months ago. Against that the company has been highly selective within our investment process and if you look over the last say 3 to 6 months you wouldn't -- if you looked at the broad average of where the investments have been made say over the last six months. that's probably directionally accurate with where the market. While we have seen a rebound in prices in the last few months prices in general are still at the levels they were at some point in the fall last year which at the time we thought was a very attractive opportunity.
Christopher Testa: And just with the CLOs closed in the quarter I know you had performed one and you also purchased three, how is that environment look now? Are you still looking to kind of structure your own and do that or is there still a significant amount of dislocation where you're able to pick up secondary purchases on the cheap?
Tom Majewski: Yes it's a combination of both. We continue to seek to issue CLOs newly where the returns are attractive. Although similarly there remain some motivated sellers in the market who are selling things at quite low prices that we find very attractive. So I think on a dollar basis probably we deployed more in the new issue market just by virtue of it being a new CLO but we continue to actively look at secondary opportunities and we try and be very nimble between the two we certainly look at any number of opportunities in a given week on both sides of the house. Some of the advantages of being a new issue or you can you create or you have more influence on the terms and you typically have a longer runway in that the CLO is newly created with a long reinvestment period against that some of the secondary opportunities if you have a motivated seller even with a shorter life left can be very attractive. We seek to find the best between both of those.
Christopher Testa: And just with the junior OC cushions [ph] stepping down a bit again, was this more from you rotating out of energy and metals and mining loans again or is there something else to that?
Tom Majewski: Yes. The big thing if you look on page four you can see the junior OC cushions on an investment by investment basis for our CLO equity portfolio, that right now the weighted average is about 4.38% which is down a little bit from prior quarter that reflects a number of things going on in the underlying CLO portfolio and while any given CLO can vary one or two tidbits to share about certain CLOs in the market, there are some loans actually notably in the energy and commodity spaces where the senior loan is doing fine, the first lien loan that the company is -- that those company's CLOs may own however if a company is doing discounted bond buyback or exchange at the subordinate security, in many cases the rating agencies will rate the loan in SD or selective default, even though they might still be paying current interest on the first lien loan which is typically what the CLO owns. When a loan is rated D or SD has a significant haircut taken in the OC test so that is one of the drivers particularly of some of the CLOs with the lowest OC cushion of what's going on. In addition some CLOs have sold energy loans at losses which if the collateral manager thinks the loan is going down further that's a good idea, some of that has been offset though by some of the discounted buying opportunities particularly in the first quarter as we shared during the call at one point less than 1% of the loan market was trading at a premium which suggests that 99% of the loans are trading at a discount while if no one likes to sell things at losses if a loan is going down further we'd like to see exit as quickly as possible but there was a good opportunity in the first quarter to be able to reinvest at discounts to par which helps build back that OC. Overall I think you'll find our portfolio ranks up very strong, compared to broad market averages for OC cushion and you see many of the CLOs have over 5% cushion and the weighted average still comfortably 4 and a little more than a third.
Christopher Testa: And off the two CLOs that are not -- that have yet to make the inaugural distribution, give an indication of when we should expect that to occur?
Tom Majewski: Sure. And actually one slight clarification, equity number five if you look it has the exact same metrics as equity number four, that was a buyback and you see it's a 2013 vintage, that was a CLO where we are already where the majority investor across Eagle Point and we bought more of that equity at a very attractive price in the secondary market. So that one made a payment in April and we will continue to pay but it had not made a payment for us in the cash flow period reported here and then for CLO equity 36, the one at the bottom that will likely start paying -- it'll either be October or January depending on the pace of the ramp up within the CLO is our current expectation.
Christopher Testa: And last one for me, just on the dividends, I know you had mentioned potential special, now you've exceeded the dividend on NII, you’ve been extraordinarily exceeding on a cash basis. Are there any thoughts upon you know around maybe increasing the regular distribution as opposed to doing specials or would you rather kind of keep that conservative at 60 then just look into specials at the end of the tax year.
Tom Majewski: Certainly to-date we’ve continued at a $0.60 distribution rate for the common stock and we're pleased to see net investment income in the first quarter in excess of that, that's a milestone that is an important one obviously and we took a few quarters to get there but we're very pleased to be there. In terms of future dividend policy we haven't had substantive discussions with the Board in terms of looking at changes in the distribution policy. One of the things that we want to be very sensitive to we do like to build NAVs as well and frankly NAV has gone down for a while and it's nice to have it going back up. So that's an important piece of the equation that I know the Board will consider and then finally Ken, mentioned preliminarily we expect the taxable income to exceed the GAAP income which would make it a compulsory requirement to as a RIC to pay distribution in excess of the base rate. He did -- I think we used both preliminary and initial and preliminary in the description of that and we have less than half of the hard inputs into the equation so far and actual performance and losses realized or gains realized in the underlying CLOs will be a driver on that. So what we've said is we want to keep an eye on this for a little while and we will pick back up with the Q3 call as to you know kind of further thoughts and we plan to about it with the Board over the coming meetings.
Operator: Your next question comes from the line of Ryan Lynch with KBW. Your line is open.
Ryan Lynch: First question just has to go around with pace of the capital deployment from the newly raised equity. So as I think about it and it's kind of drives sort of where you're looking to maybe invest more in primary or secondary issuances. My thought process was if your focus was more on primary issuances it may take a little bit longer to deploy the equity proceeds versus if you guys are seeing real opportunities in the secondary market, maybe you could deploy that capital a little bit faster. So just any commentary you could provide around you know pace of capital deployment for the newly raised equity?
Tom Majewski: Sure. The prospectus supplement would have said I believe two to six months is the anticipated timeframe certainly within six months is the anticipated timeframe for that pace of deployment. We told in the commentary that we think we're well positioned for the summer. You know there's an old saying, sell in May and go away in the market. We are going to be very selective with the capital, at the same time we're very mindful of continuing to demonstrate strong earnings potential, earnings power for the company so it's a balance between the two of them, sitting on capital is never free. If you look back to each of the IPO, preferred stock and baby bond issuance we consistently invested or each of those three issuances we invested comfortably within the time frames suggested in the prospectuses for those offerings. So we take those kind of time frames very seriously, exact market conditions will dictate more primary, secondary but management feels comfortable with the estimate provided.
Ryan Lynch: And then kind of sticking with what you just mentioned the other baby bond and preferred equity raises. I would presume that with this new equity raise here today or a couple of days ago, I would presume that you would want to also potentially raise some additional debt or preferred equity around that kind of get your guys balance sheet leverage a little bit higher and more in-line with historical targets. So what are your thoughts about potentially raising additional debt or preferred further down the line once you deploy these equity capital proceeds?
Tom Majewski: A good question Ryan and we’ve offered guidance that we in current market conditions would seek to operate the company's balance sheet between 25% and 35% debt and preferred versus I guess assets. We're at the low-end and even probably pro-forma with the recent equity raise even a hair below the low end of that range. So we will know nothings in the works we will continue to evaluate different opportunities for the company and we do want to stay in that 25% to 35% range although right now certainly first and foremost for us is deploying the capital and get that earning and then we will evaluate what the market landscape looks like.
Ryan Lynch: Okay. And then I was looking at page four of your investor slide deck and you were talking about you know OC cushion. I noticed your equity number six investments OC cushion is down about 84 basis points, so less than 1%, I don't this one specifically or other equity investments, did you guys -- other CLO equity investments but would you anticipate any of these particular these equity investment number six potentially stopping payments in the near term?
Tom Majewski: So it's probably a very good question and it's probably linked up actually with equity 24 as well which are separate securities but then you see those are really the two outliers on the low and in each of the cases of these based on the last trustee reports they had a number of those SDs that I had talked about. So there's a haircut taken in the OC test while the loans that we own in the CLOs are continuing to pay, the company might be doing a discounted buyback of it's subordinated or some sort of other exchange subordinate to the securities that our CLOs hold but it does counted as a D in the OC test to the extent those offerings or negotiated matters are resolved typically the rating agencies then rerate the loan back in many cases to its prior rating which would actually spring back up in the OC test. So we have seen some of these move around a little bit more than others, it's difficult to predict if the rating agencies were to downgrade a bunch more loans back that unto itself could have the impact of interrupting cash flows for a period of time against that collateral managers also have a number of levers to pull in most CLOs loans purchased above $0.80 on the dollar account as hundred cents in the OC test. So it is something that that frankly can be managed and certainly on a dollar basis the vast majority of our collateral managers didn't miss payments through prior credit cycles in those CLOs. So I can't certainly forecast any one CLO going or not going below the test. If it does the only consequence is distributions that would have gone to the equity, go to repay AAAs which is probably not good because they're in the money but there's no for sales required on any of the CLOs within the CLOs regarding an OC breach and frankly the collateral managers in general have a number of levers to pull to keep them on sides. Overall you see the CLO portfolio in the OC test are quite strong and if you compare our weighted average of 438 to many other market publications I think you will see we’re on the better side of the spectrum.
Ryan Lynch: Just one last one, you guys disclosed your NAV had a big increase from the March quarter through April, so just generally speaking or maybe directionally can you just comment on how CLO equity values have kind of trended you know from the end of April through May? Have we seen generally speaking you know prices are trending higher, trending lower, kind of flat?
Tom Majewski: You know broadly in the market and this is not addressing our particular portfolio but talking about the market in general for CLO equity. We've continued to see strong demand and in general you know price is trending upward while any given security can move around up or down and there are some that we're aware of that are falling in value. In general we think values are trending higher so far this month, obviously we're only part way through the month and we're thrilled that the NAV was up 10% and we said this on the way down so we will say it on the way up and we want to fairly value our books. We hope the portfolio goes up 10% every month that would be great certainly not a forecast, the cash flow generation of the portfolio is the thing we focus on the most. So it's great to see stuff coming back up and I know it's a source of concern when the NAV was moving downward, but in general things are stronger but the things we focus on most are the cash generating power of the portfolio.
Operator: There are no further questions at this time. I will turn the call back over to Mr. Majewski for closing remarks.
Tom Majewski: Great. Thank you very much everyone again for joining the call. We appreciate your interest in Eagle Point Credit Company. If there's any follow-up calls or questions investors may have, feel free to reach out to Ken or I at any time. Thank you and have a good day.
Operator: This concludes today's conference call. You may now disconnect.